Operator: Good afternoon, ladies and gentlemen, and welcome to today’s Fiat S.p.A 2011 Fourth Quarter and Full Year Results Conference Call. For your information, today’s conference is being recorded. At this time, I would like to turn the call over to Marco Auriemma, Head of Fiat S.p.A Investor Relations. Mr. Auriemma, please go ahead, sir.
Marco Auriemma: Thank you (inaudible). Good afternoon to you all or good morning as the case may be. And welcome to Fiat’s Fourth Quarter and Full Year 2011 Results Webcast and Conference Call. As usual, today’s call will be hosted by the Chief Executive, Sergio Marchionne, and by Richard Palmer, the Chief Financial Officer. They will use the material we shared. You should have downloaded it from our website, fiatspa.com. And after introductory remarks, they will be available to answer all the questions you may have. Before moving ahead, let me just remind you that any forward-looking statements we might be making during today’s call are subject to the risk and uncertainties mentioned in the Safe Harbor language contained in the presentation material. So, now, I will turn the call over to Sergio Marchionne.
Sergio Marchionne: Thank you, Marco. Good afternoon. I think it’s fair to say that 2011 has been for a variety of reasons for Fiat-Chrysler been an outstanding year. We’ve had, in addition to the numerical achievements, revenues of nearly €60 billion, a trading profit of, what, €2.4 billion, the fact that we ended up with a net of a €1.7 billion. And then if you take out the unusuals, so roughly a billion we signed up, over a €700 million net after all this. The fact that we’ve got €20 billion worth of liquidity in the system. These are all things which are absolutely consistent with the view that notwithstanding the very difficult trading conditions – and we’ll talk more about this as we go forward – but a very difficult trading conditions that we’re all experiencing in Europe that Fiat-Chrysler is on solid ground and that it can face the next phase of development in Europe with some serenity. I think we are engaged in a number of fronts internationally now. You’ll see as we go through the presentation that we’re already now talking about a global car company and no longer one which had two fundamental themes and underperforming European set of assets and a set of assets in Latin America that continued and are set to be continued to perform well. But we’re now – we have been able to flag that with a phenomenally strong North American operation, which has allowed us to devote resources both in terms of time and technical resources, the development of our position in Asia Pacific. So we told you when we presented our plans a few months that we’d be targeting about 4 million cars this year. That’s the number that we’ve hit. But more importantly, it allows us to look at 2012 with some level of confidence. I know that you certainly have read from the preliminary remarks that have come forward that there’s a lot of skepticism about the ability of any European car market to respectively post a decent set of numbers in the current year. I think it’s fair to say that Fiat-Chrysler was purely a European ply that we will be looking at a completely different reality going forward. The combination of Fiat-Chrysler now allows us to look at 2012 with a guidance which, for those of you who remember the old Fiat before the demerger in 2008, had achieved about €3.3 billion worth of operating profit. We’re now looking at car company alone without the industrial side that will produce a number in 2012 in excess of that target. We’ve put in a number of €3.8 billion to €4.5 billion. And we’ve had the cost from the range, which is probably the first time that certainly I’ve had to do here. I’ve had to do this since I’ve been here in 2004 where we’ve had to put back – there are at least a set of ranges around that outcome because we have uncertainty around the rate of recovery of the Eurozone. Having said this, we’re still forecasting a net income between €1.2 billion and €1.5 billion. We’re going to have – there’s a likelihood that we may grow that to around a €6 billion number purely because of the size of the capital expenditure profile that we’re contemplating for 2012. And the last bullet is on page two, which deals with the fact that we’ve now achieved a 50.5% equity interest in Chryslers now. So it’s history. We’ve got the last 5% in January by meeting the last of the equity event, the ecological event. So, we now are left with VEBA as the other shareholder. It’s a shareholder whose position we have instead of call options, which expires in 2016 and allow us to buy up to 40% of their interest. If I can just get to page four, we’ll use this as a basis, I’m sure, for some of the Q&A that will be directed after the presentation. We tried to give you an idea of the profit split for this new global car company. The left hand portion of the slide deals with the revenue side. And you can see that, effectively, the integration of Chrysler and these are bit down in a pro-forma basis, including Chrysler for the whole of 2011. The NAFTA and our camps are nearly half of the overall volumes of the combined Fiat-Chrysler group, and that when you look at the profit origin of the trading profit associated with Fiat-Chrysler, again, on a pro-forma basis on the assumption that we had owned Chrysler throughout the year, you find that there’s almost a negligible slice of that pie which has been labeled EMEA car. And EMEA car, unfortunately, is made up of a couple of (inaudible). It’s made up of a number which reflects a luxury brand. And then, there’s a number which is the mass market portion of European operations. So, you can see relatively clearly that the mass market business in Europe has lost nearly half a billion or about half a billion in 2011. The picture wouldn’t change drastically if you compare it to 2010. But it does reinforce our view that the structural imbalance that exists within the European market are things that need to be addressed and they need to be addressed in a particular way. Fiat-Chrysler has chosen a particular method of addressing this issue. It’s begun to look at the European asset base as an extension of the global manufacturing base of Fiat-Chrysler. And it made a commitment to try and develop these assets in a way which is absolutely consistent with and in accordance with a product development plan, which is driven not only by EMEA, the European market, but it’s also driven by demand in other parts of the world. In order to get that done, we – let me deal with some of the propaganda slides. Let me deal with slide number five, which tells you that we are now a credible player. We’re number seven on a list of global car producers. And I’m not going to try and (inaudible) the information on slide six. I mean, we have announced a group executive council formation in the second quarter of 2011. The integration activities continue unabated. I mean, they’re picking up an intensity and strength. I expect to have half for the work of integration in terms of making this look and smell like as a one-car company by the end of this year. Hopefully, we’ll be able to exceed that target. So there’s a lot of information on page seven which may require that we spend some time getting to grips with this. The left hand side is our best approximation of what the utilization using harbor definitions. It’s of the various geographic areas within which we function. And you can see down the North American side, in 2011, we’re roughly 90% of capacity utilization. Our Fiat-Chrysler world utilizes the asset base in the U.S., Canada and Mexico at about the same rate. We’re about 92% using the same standard definition. But when you look at Europe, you can see that we had an 82% utilization rate using harbor. On an Italian basis, that number ended up being 50%. And if I look to the rest of Europe, which obviously has got us the main production assets are Polish activities. We were well above 100% and it’s been over 100% for a number of years. This kind of structural imbalance in terms of the productivity of the Italian asset base and what is available around Fiat has been at the heart of our attempt over the last few months, probably, a couple, two or three years, to bring about a fundamental change in which we interface with the trade unions. The fact that we tried to get to a new pact on how to run these operations and bring the highest level of flexibility and the highest level of flexibility from the plants that we run. If you move on to slide number eight, we’ll give you a summary of what we have been able to accomplish today. We were able – I mean for a variety of painfully necessarily reasons, we were able to shut down our Sicilian plant, which, unfortunately because of geographic location, could not be saved. There was nothing I could’ve done, even if I had increased volumes, if I had multiplied the economic activity in the plant. I could never ever remove or reduce the operating and also the ways, the running of the operation. We also exited the employer’s association here at the end of 2011 to gain the necessary contractual freedom to try and engage directly with the trade unions and establish a set of working practices and agreements that would allow us to begin the process of restoration of what I call globally competitive manufacturing assets in this country. These are some of the things that we were able to negotiate with the trade union. I think we are happy with what has been accomplished so far. And certainly these initiatives are totally in line with the strategic objectives that we have set back for ourselves in 2010, which looked at the near full utilization of the Italian asset position going forward. So we are the beginning of a cycle now, which hopefully will be completed certainly within 2014, which is drastically changing the economic picture that you saw on the pie chart from the previous pages. We need to remove this imbalance. We need to remove the fact that we’ve got the mass car market in Europe, which is economically unproductive and which just in raw, pure economic analysis does not deserve capital allocation of any kind. And so, we need to work with a system to try and bring about a change. We think we can do this in conjunction with Chrysler and the rest of our global activities. But that work must be done with discipline. It must be done with rigor. We cannot waiver and we cannot backtrack with the commitments that we’ve made so far. So, I’d be more than glad to take questions on this picture. But we are at the beginning of a longer-term process, which will not be completed until 2014. So, on that note, I’ll past it on to my friend, Mr. Palmer, who’s going to razzle-dazzle you with a bunch of details of our 2011 performance.
Richard Palmer: Good afternoon, everybody. A couple of comments on page nine on the new Panda in Pomigliano. As mentioned, this is the first plant which is benefiting from the new contract and clearly is an indication of how the group intends to proceed with retooling and improving the ability of the Italian production system to pass utilization going forward. We go forward to page 11. Let’s start to talk about financials. As mentioned before by Mr. Marchionne, full target was achieved or exceeded for the year. Revenues reached nearly €60 billion with Chrysler contributing €24 billion for the seven months it was consolidated. Fiat-Chrysler revenues were €37 billion, up 4%. And revenues for FGA were resilient more in line with 2010 despite the difficult trading conditions in Europe. Luxury and performance for brands and components achieved double-digit growth in revenues. Trading profit came in at €2.4 billion, of which €1.3 billion is a result of the consolidation of Chrysler. Including Chrysler trading profit was €1 billion more in line with last year. Net profit of €1.7 billion included €1 billion of unusual income, mainly related to the measurement of the ownership interest in Chrysler at consolidation in Q2, net of unusual charges, and the €0.1 billion loss on the mark-to-market of the stock-option related equity swaps. Excluding these items, net profit was €0.8 billion. On the same basis, the full year net result for Fiat excluding Chrysler was substantially breakeven. Net industrial debt was €5.5 billion compared to €0.5 billion at year-end 2002 and down from the €5.8 billion at the end of September 2011, principally reflecting consolidation of Chrysler’s net debt, €3.9 billion, and the purchase of the UST and Canada stakes of €0.5 billion. For Fiat excluding Chrysler, net industrial debt at year-end was €2.4 billion, excluding the purchase of the additional interest in Chrysler and negative non-cash items. Net industrial debt for Fiat excluding Chrysler was around €0.7 billion, well below the €1.5 billion to €1.8 billion guidance given at the beginning of last year. Total available liquidity inclusive of undrawn committed credit line is up €3 billion to €20.7 billion and on the Fiat side, €12.3 billion of cash. Moving to page 12, Fiat-Chrysler continues to manage cost rigorously while aligning production levels with market demand. WCM savings of Fiat and Chrysler combined amounted to €480 million, around 7% of transformation cost. And the target for 2012 is in excess of €400 million. Gross purchasing savings in 2011 were just over 2% on €43 billion of annual purchase value. But due to raw material price increase, net performance was slightly positive for the year, at €80 million. Net purchasing savings in 2012 are expected to be in excess of that number given that the raw materials increases suffered in 2011 aren’t expect to repeat. Integration between the two companies is right on track. As mentioned before, the €1.4 billion is extended as soon as it is achieved to date and if it were around 60% of reduced cost of P&L, while the remainder we’ll save it in cash capital expenditure. And then Fiat has successfully issued new bonds with an aggregate amount of €2.5 billion plus a syndication of a three-year revolving credit facility, which is an amount equal to 100% of the bank majorities due through the end of 2012. Given Fiat’s desire to maintain a high level of liquidity and that certain restrictions exist on the ability of Chrysler to pay dividends, the board of directors decided not to recommend a dividend payment on Fiat’s ordinary shares. However, the board announced its intention to propose to shareholders at the annual general meeting a total dividend on special classes of shares only of €40 million. Slide 13 deals with the constituents of the revenue and the trading profit for the full year. Fiat Group Automobiles revenues were up, in line with 2010 with a more favorable product mix offset by a €0.02 decline in volumes. Trading profit was impacted by volume declines of passenger cars in Europe, higher advertising cost related to new model launches, and R&D expenditure for future products, partially offset by the inefficiencies in purchasing a world-class manufacturer I mentioned before. Chrysler revenues were nearly €23 billion in the seven months, on a back of 1.2 million shipments in the period. Chrysler trading profit was driven by continued positive trend and volume mix and price from the new vehicle launches. Ferrari and Maserati, along with the components business, had a good performance in 2011, recording increases in both the top line and trading profit. Slide 14, these are the P&L from trading profit and net results. Unusual items, and that includes the unusual income €2.1 billion recognized in Q2 and mostly related to the fair value re-measurement of the ownership interest held in Chrysler prior to acquisition of control and of the right to receive an additional 5% ownership interest following achievement by Chrysler of the third performance event, which was completed in January of 2012. Unusual expense is at €1.2 billion, of which €700 million are non-cash, attributable to the impact on Fiat’s business and strategic realignment with Chrysler’s manufacturing commercial activities, and to one-off charges related to realignment of certain other minor activities of the group. Financial charges amounted to €1.3 billion and excluding Chrysler to around €800 million compared to €400 million last year, net of the mark-to-market of two option related equity swap, which amounted to a gain in 2010 of €111 million and a loss in 2011 of €108 million. The remaining €177 million increase relates principally to a higher cost of carry in 2011 due to the higher average cash levels in the period. Net income as mentioned before totaled €1.7 billion, up from the €222 million a year ago. And excluding Chrysler unusuals in the mark-to-market of the equity swap, the result was substantially breakeven. Page 15, cash flow, I concentrated on the fourth quarter. In the left hand column, changing that was positive for 240 million in Q4, thereby reducing net industrial debt from 5.8 billion as of the end of December to 5.5 billion at year end. The above mentioned positive cash flow comes from a 300 million positive cash flow from operating activities net of CapEx was used by a negative exchange translation of 123 million related to the U.S. dollar moving from 135 to 130 on net debt. Net of this impact, net industry, that would have been a 5.4 billion at year end. Moving on to page 16, the market status and also forecast. In the U.S., the industry in 2011 grew by 11% in 2011 versus 2010 in particular trucks was up 13% while the passenger car market was up 8%. For 2012, the industry demand in the U.S. is projected at around 13.8 million units which is in line with prices November 2009 plan. Canadian market recorded a 2% increase over 2010 and we expect stable demand through 2012. In Europe, the industry in 2011 was down 1.4% to 13.6 million units with a more pronounced decline of over 3% in Q4. The increase in Germany wasn’t enough. The double digit decline in Q3 [ph] and staying a negative performance in front. LCV market in Europe was up nearly 8% driven by all major country except Italy with double digit increases in Germany, U.K. market. For 2012, as mentioned before, with the persistent difficult grading conditions in Europe and the passenger car industry is expected to further decline and remains between 12.9 to 13.4 million units. LCV market demand is projected down 3% to 5% with Italy contract the most expected around 10%. Overall demand for Brazil reached a record high in 2011 with 3.4 million units or 2.9% growth versus 2010, and Argentina was up 29% versus prior year. The Brazilian market is projected to around 3.6 million units, or 5% growth versus 2011 supported by each expansion as expected. On page 17, look at the U.S. and Canada share performance, strong performance on Chrysler group, products in the U.S. and Canada outpacing industry growth with December marking the 21st consecutive month of year-over-year vehicle sales gains on the back of the momentum, the 16 new and significantly fresh products launched. For year 2011 share, with a 10.5% up 130 basis points versus 2010. Retail sales were up 43% for the full year, and retail to retail market share was up 200 basis points, so 9.4%. Free mix [ph] was at 28% for full year ’11 compared to 36% a year ago. In Canada, full year 2011 share was up 130 basis points to 14.3%. Retail sales increased by 13% in the year. Retail to retail market share was up 150 basis points with Q4 share at 12.9%. Page 18 graphically represents some of the main contributors to the growth in the U.S. and Canadian volumes in 2011. You can see all the products launched, the Chrysler 200, Dodge Durango, Jeep Grand Cherokee, the two small SUV, the SUV products, the Compass and the Patriot and the Wrangler and the Ram all contributing very positively to the 24% growth over-all. Page 19, dedicated to our new Compact sedan, the Dodge Dart which was unveiled at the Detroit auto show earlier this month, the vehicle is being introduced into a single largest retail segment in both the U.S. and Canadian market, it’s based on the (inaudible) platform, modified for the U.S., and with also three world class engines and three transmissions including the 2-liter and 2 4-liter Tiger Shark and the 1.4-liter multi turbo engine. The vehicle was named the most significant vehicle at the Detroit auto show, by Autoweek Editors, and Smash Hit of the Show by Motor Trend Magazine. Page 20, a full year 2011 FTA share in Europe was 80 basis points lower than 2010, substantially driven by unfavorable country and segment mix. The way to the Italian market as you can see on the top right hand corner of the chart produced by 130 basis points accounting for less than 13% of the total European industry. The combined A and B segment weight in the whole European market was down 350 basis points, accounting for 60 basis points of FGA share loss. In particular, full year share on FGA was down 90 basis points to 29.4% primarily as the result of the 2.30 percentage loss in Q1 ’11 compared to Q1 ’10 which was benefitted by the tail of the eco-incentives. Considering the A and B segment together A, B, and C segments together, their weight in the whole European market was 380 basis points lower than last year, and as a result, share decline for B by 30 basis points. What’s noting the positive performance in the C segment with Fiat segment share gain in excess of 100 basis points, thanks to the first full year in the market for the alpha and for beta. Slide 21 deals with the FGA passenger car brands in Europe, Fiat was the most impacted brand for the unfavorable segment in geographic mix mentioned before. Over within its core segment, Fiat maintained a leading position, in the A segment, Panda maintained number one position and Fiat ranked number two, Punto into the top five ranking with over 6% share in the B segment, Freemont had a very good reception and a booming SUV segment which were over 21% in Europe. Alfa Romeo sales in 2011 grows 19% to 131,000 units, thanks to a full year contribution of Giulietta, Lancia full share was flat at 0.8% sales and 6% but with a sequential quarterly improvement driven by very good market acceptance of New Ypsilon launched in June. In fact, first half was down 17%, the second half was up 11. Jeep sales in 2011 in Europe were up 62% versus 2010, on the back of the rejuvenated product line-up and stronger distribution base through the FGA network. Whole year share almost doubled from us in all brands. Page 22, shows the professional performance where sales growth in Europe grew by 5.6% to 224,000 units, with volume gains in all key markets except Italy and Spain whose decline if fully attributed to deteriorated market demand in Q4. Full year share impacted by unfavorable county mix with a 12.5% substantially in line with last year. Slide 23, focusing on Latin American. The combined full year share was at 16.8% in the Latin America region with Chrysler sales up 33% to 56,000 units. And Brazil Fiat was again confirmed the market leader as it has been for nearly a decade. Full year share grows 22.2%, in line with expectation while maintaining price discipline. Inventory remained at a healthy level with dealer stock at 25 days supply at year-end. More in detail, the Fiat brand in Brazil expressed a market share growth in core segments for the full year. Fiat share in the A, B segment was up 100 basis points reaching 28.2% driven by strong performance of the New Uno, and the (inaudible). Robust sales of the Bravo drove shares to 7.5% in the C2 segment. Fiat into the SUV – Fiat SUV segment is Freemont achieving a nearly 3% segment share in just 4 months of sales. Strong product momentum drove sales of Chrysler brand up particularly Jeep with Cherokee going twofold in 2011 and Grand Cherokee more than three times. Worthy of note on the product side, is the achievement of two consecutive awards of Carro do Ano. For 2011, additional is ordered to New Uno, and the 2012 addition to New Palio which was given five additional awards including best compact of 2012. Slide 24 shows the most important product introductions that occurred in 2011 and by region. In particular Lancia/Chrysler brand in Europe benefits it from the launch of the all new Ypsilon and the expansion of product offering with Thema and Voyager, they arrive from the recently launched fresh products in Chrysler in NAFTA. Fiat Freemont achieved a good performance after being launched in the second quarter. Four cars were launched into the high performance SRT brand in NAFTA, and also the Fiat 500 and Freemont were launched in Brazil, they’re very good initial receptions, both models are imported from Mexico, benefiting from the free-trade agreement between the two countries, and therefore the cost base is now more competitive than the 500 imported from Europe. In page 25, the key product launches for 2012, in Europe, we are launching a New Panda, as we speak, in Q2, Lancia will introduce the Flavia Covertible and the Thema Wheel Drive. In Q3, there will be the launch of the new Fiat Compact MPV. In Q2, the Dodge Dart will be launched in the NAFTA market and refreshed Ram Light Duty pickup will also be launched in Q3. The Dodge Viper will also be launched at the end of the year in Q4. In Latin America, we’re going to have a significant product line. We knew with the introduction of five new models, plus seven refresh versions of existing models. Fiat Freemont will be available in China in the current quarter followed by Chrysler 300 in Q2. The new Q3 Fiat – the new Fiat C-Sedan will be in China in Q3 of this year, the first vehicle produced by the JV (inaudible). Page 26, shows the 2011 shipments and the work to the 4.1 to 4.4 guidance for 2012. We’re targeting 4.1 to 4.4 million sales in 2012. Volumes in there may be difficult to forecast as we discussed earlier, being subject to the level of uncertainty regarding economic activity in the Euro zone, expecting growth NAFTA as market increases and also share, and shipments in Latin America should be close to the 1 million mark with the increase being driven both by Brazilian market growth and also an increase focus in other Latin American markets. Going to slide 27, Ferrari recorded over 17% revenue growth in the year, Ferrari shipped 7,200 units up 9.5% driven by 12-cylinder models, the FF in particular, 8-cylinder models accounted for about 80% of total shipments in the year. Also in 2011 North America continued to be Ferrari’s number one market representing 27% of shipments. 2011 trading profit was up €312 million, of which €100 million was generated in Q4. The full year improvement is attributable to higher sales volumes in a more favorable product mix partially offsetting higher R&D expenditure. Maserati shipments increased 8.5%, North America grew by 20% and China shipments nearly double over last year. China, Hong Kong and Taiwan now represent around 14% of revenue. Maserati full year trading profit was 1.7 times higher than last year moving to 40 million on the back of improved mix, and further optimization of operating cost. Slide 29, the components slide, Magnetti Marelli in 2011 had revenues up 8.5 percent to nearly €6 billion reflecting strong performance in lighting and electronic systems in Germany, Brazil and China in particular. Demand in the LCV market also made a positive contribution. Full year trading profit nearly double to €181 million, increase sales volumes and manufacturing efficiencies that cost pressures from raw material price increases. New orders reached 1.9 billion in a year, a strong performance in terms of order intake. Fiat Powertrain on page 30 revenues at €4.4 billion up 6% on higher volumes in Latin America, partly offset by decline in Europe, engine volumes were substantially flat at 2.4 million units, transmissions were up slightly at 2% more – up 2.3 million units. Trading profit was 131 million, favorable sales mix and efficiency in overhead and manufacturing cost partially offset high raw material cost, and high R&D associated with new products. During 2012, the diesel engine portfolio for both FGA and Chrysler group was rounded out with two state of the art products through the acquisition of Penske Corp’s 50% stake in VM Motori, jointly managed with General Motors. Our long lasting relationship with Suzuki was reinforced with an agreement in June for the supply of 1.6 liter multi-jet II diesel engines, with a three-year agreement to supply Maruti Suzuki India up to 100,000, 1.3 liter MultiJet 75 engines per year. Slide 31, in 2011 Fiat kept its leading position for the third consecutive year in the Dow Jones sustainability world, and Dow Jones sustainability Europe Indexes. We had obtained a final score of 93 out of 100, and reached the maximum score of performance in carbon emission. Page 32, talks about the 2012 outlook as Mr. Marchionne mentioned earlier. Given the uncertainty in the European market place, we’re giving the range of numbers you’ve seen on the page before, the revenue is in excess of 77 billion trading profit in the €3.8, €4.5 billion range net profit between 1.2 to 1.5 billion and net industrial debt between €5.5 to €6 billion. Thank you very much, I’ll hand it back to Mr. Marchionne.
Sergio Marchionne: Okay, thank you sir. Now we’re ready to start the Q&A session. Noleg [ph] could you please retrieve the first question? Thanks.
Operator: (Operator Instructions). Our first question today comes from Charles Winston from Redburn Partners. Please go ahead sir.
Charles Winston – Redburn Partners: Just two or three question for me if you don’t mind, accounting things, but could you just highlight the gain on the Chrysler numbers from the move from U.S. GAAP to IFRS, obviously, you know, we talked about this in the third quarter in terms of the capitalization of R&D. If you could just run us through that for the full year, I’ll be grateful. Secondly, just in terms of tax rate, looking at the numbers, it looks as though if we put to one side the roughly billion on one time gain and see it, the underlying tax rates in Fiat is about 100% and about 10% in Chrysler. Is that right? And if it is, what your expectations for those tax rates for 2012. And then finally, just in terms of production. Your presentation suggests that in the fourth quarter, you produce I think 490,000 units sales or just a little bit under that, so your inventory as a proportion of sales, your presentation suggests it’s 2.1 month, which as I look at it, is the highest we’ve seen since the fourth quarter of 2008 of the crisis. Why did we destock? Why didn’t you cut production? It just seems quite weird to see that figure given what we’ve been seeing in terms of your sales in recent months? Thanks a lot.
Richard Palmer: I’ll start with the tax rate. On the Fiat side, we clearly have the imbalance of where we make money in Latin America, and we pay taxes. And in Europe, we don’t make money, we have significant tax forward, but we can’t utilize them given the level of income, so our tax rate is as a result looks extremely high on this. On the Chrysler side, our status as an LLC basically, we don’t pay taxes in the U.S., our tax characteristics are basically passed through our owners. And at the moment, anyway, the owners have losses that have been accumulated to the first two and half years, so they won’t be paying taxes on the income anyway. But that’s their issue because being an LLC that passed through – now the taxed paid in Chrysler relate to international jurisdictions such as China, South America.
Charles Winston – Redburn Partners: So those rate going forward, we should probably use something similar in 2012 in our model?
Sergio Marchionne: I think the best – this is Sergio Marchionne, the best way to look at this is until the structural problems in Europe are solved, the best we can hope for is reduce the operating profit or the taxable income coming from the last three brands to offset the losses that originate from the cars side. That is supposed to a zero from gain and in Fiat does not, and it will not – it does not directly stepping [ph] on board here, but it is not – any – in connection with Italian losses from the basis that we do not approve recovery on the foreseeable – on a reasonably foreseeable basis. So the answer to your question is, it’s the way that you need to look at the tax – as we being jurisdictional in nature, I think you should be guided about what Richard said about the U.S. for 2012certainly in terms of utilization of flow through of income up for the partners who will not be required to pay taxes and fully understand the operating agreement. And I’m looking at Richard to get confirmation as I understand it to the extent that the members need to pay taxes. I know there’s a requirement that Chrysler made the distribution to even than out. So, we’re not in that position yet and certainly not at the 2012 event. On the European side, whatever profits we deliver out of the luxury brands that totally offset either by losses that are coming out of the regions or the preexisting tax (inaudible) going forward but in fact they will not be paying taxes other than employment taxes which this year amounted to over 100 million. I’m looking at this, how much was the, it was about 120 million, I wasn’t that far off. In Latin America these are standard OSPD [ph] rate they’re normally different from where we are. An APAC, it’s a new game because of the fact that we’re out there refreshed. So, when you take all these things into account, you’re going to end up by accident into a reasonable rate because the U.S. position which is getting larger in nature will have almost no tax burden offsetting what you directly said is a 100% payouts out of Europe in fact it will be worse than this because in fact, the number may even have been negative at a point in time. So, in the average we will end up with the descent rate but the origin of that mix is so bizarre until we resolve the European issue and especially the Italian utilization of the Italian asset base, the tax position in Italy is going to continue to be very difficult.
Charles Winston – Redburn Partners: That’s clear. Thank you.
Richard Palmer: As it relates to the offer as adjustment, you can see on page 37, the reconciliation for the quarter. And for the quarter in Euros, the number is about 300 million Euros are back to net income for basically driven principally by the capitalization development cost under IFRS which will depend on the U.S. GAAP. So for the seven-month period, that number is about €750 million. Is that clear?
Charles Winston – Redburn Partners: Yes. Thank you. But that’s post tax but if we apply Chrysler at a very low tax rate, we can get to the pretax figure. Is that logical?
Richard Palmer: Yes.
Charles Winston – Redburn Partners: Cool. And then finally the production side?
Richard Palmer: We’re not concern about the 2.1 month, you’re right, it is slightly higher than it has been in the last 12 months or so if not as 2.5 months that we had in a period you were discussing being critical. We are launching (inaudible) we have a strong volume in the LCV part, if we need to take production going forward in some of the passenger car markets we will. But we’re not concerned with 2.1 one month number.
Sergio Marchionne: But we are as watchful as you are on these numbers. I mean, we understand the issue. I don’t think there was any intentional sort of clogging up the arteries on distribution. If you want my honest opinion, I think it was probably a misjudgment as to what this number would be in terms our overall volumes. But the numbers are going to adjust fairly within the first quarter.
Charles Winston – Redburn Partners: That’s true. So, can I have just one last follow up and then I’ll shut up. Just in terms with the tax side how much more accumulated losses are there in Chrysler before Chrysler would need to stop paying a more normalized rate?
Sergio Marchionne: Now, I’m going by memories. So, I know there’s no issue in ’12. And based on what I know, there’s no issue on ’13. But we’ll come back to you on the first quarter call and give you a better view on this.
Charles Winston – Redburn Partners: That’s clear. Thank you very much.
Operator: We will now take our next question from (inaudible) bank. Please go ahead.
Unidentified Participant: Yes, good afternoon. I would like to focus on the European issue as you described starting from slide four where you gave our indication of the laws of the European activity. Can you share with us what was that figure in 2010? Was it much different what you just intended?
Sergio Marchionne: It was lower than it was now but the number was still negative. I won’t give you the exact number. I think there’s no use trying to revisit the past, I’m not going to talk to you about 1997 either. The reality is that I’m starting my life with a 2011 bench. That’s the reality and we need to fix that bench. I can’t go back and reconstruct 2010. I can tell you that the pricing environment in Europe in 2010 was drastically different than it is today.
Unidentified Participant: I was just trying to understand what can be in 2012 about that finance and your point.
Sergio Marchionne: I could tell you one thing it’s going to be a lot lesser than the one that we pictured in 2011 come hell or high water.
Unidentified Participant: The solution to the European issue as you’re describing it can be either closing the plant. And in this case, I would like to ask what kind of savings you’re going to have on a recurring basis or it could be...
Sergio Marchionne: Mr. De Ambroggi?
Unidentified Participant: Mr. (inaudible). That’s fine.
Sergio Marchionne: Mr. (inaudible), let’s not start speculating about blank closures on the call. This is bizarre. You’re an Italian, you know exactly what will happen if we start debating this issue, right? I mean, it’s something. I mean. We have already done a lot I think in terms of bringing about some sense from structure to the manufacturing asset base, but doesn’t need the closure of serving and handing all of that asset was a significant step forward. We took out over 100,000 in capacity of the Italian system. I think our objective and if you go back to what I said back in 2010 when we presented a strategic plan of Chrysler and Fiat was that we will be using these assets in conjunction with the development of the prior portfolio in the market requirements of Chrysler in the United States. And so one of the things that we need to learn how to do is to effective use these assets in a way which reflect the same level of dexterity and flexibility that we’re currently getting out of the American production system and expect that performance out of Europe so they can match and compete with the same work practices that they have and that they have the same type of output cost that we got in the U.S. That is the only saving grace through all these. In the absence of an achievement of a competitive benchmark in terms of production cost, these plants don’t have a long future. But it’s not because I say it is because I don’t know how to sell the products that they make. So at the end of the day, we cannot continue to subsidize a sub-optimal inefficient manufacturing asset base on the basis of ideology. Reality is what it is. But we need to face it. We need to move it on. I think that we’ve made a significant investment informing which is an indication of the extent to which we’re willing to go to change that reality but it can’t be done by Fiat alone, it needs to be done together with our workers. And to the best of my knowledge as of today, we have the majority of the people on our side.
Unidentified Participant: So basically from the Fiat point of view with the new labor of contract you already laid down the base for sorting out the European issue from Fiat’s point of view. You only basically need volumes to saturate the capacity. So if I understand correctly, it’s also on the hand of your competitors to sort out their production capacity issues, is this correct?
Sergio Marchionne: I think that’s a very good conclusion to come to. I cannot be responsible for over capacity on our competitor’s side. I can tell you that it exists. The chart that I showed you that showed the European situation which is on page six which shows an aspect utilization of 82% using harbor in Europe is a composite of a variety of European producers, a lot of which reflect a significant export function out of Europe into Asia Pacific. If that mark, if for whatever reason were to dry up. That position would substantially change and the economics of that manufacturing asset base would significantly change. I think we all collectively share that problem. I think we all need to do what needs to be done to bring it about, to bring about a rationalization of the position in a redirection of these assets in the proper direction. It cannot be done by Fiat on its own. I think we have found out solution and this for the time being to this problem.
Unidentified Participant: One other solution you eluded to – short time, was an agreement with another European co-makers being on the production side on the gross trading side of several ways. My question is whatever you’re going to do on that front, wouldn’t it be a key factor for you to extrapolate the full value of Ferrari and so the question is what is currently preventing you to do so?
Sergio Marchionne: I think that question is just from the problem that you post I think the question of extraction of value or something we have to do as managers anyway.
Unidentified Participant: The fact that you have different short classes in Fiat preventing you to fully extrapolate the value of Ferrari or it’s not an issue?
Sergio Marchionne: Well, that’s even a more far-fetched connection. The simplification of the share structure was designed as a market-friendly move to really bring up to date our capital structure. We’ve done that. Now we look and smell like everybody else and that’s exactly the way in which the word will look. We could have done your value extraction on Ferrari even without the three separate class for the shares and without unification process that could have happened any time. That issue still remains an objective and an option for Fiat at a relevant time. Today is not a relevant time. I mean, as you can see for the cash reserves and the liquidity positions the Fiat price we have, we have an excess of €20 billion of cash in our balance sheet. It was designed to give us the highest level of flexibility deal through this transitional period until 2014.
Unidentified Participant: Okay. So, last question if I may what is the CapEx that you look for 2012?
Sergio Marchionne: To begin with, it’s too much but I’ll leave it to Richard to tell you exactly how much it is.
Richard Palmer: About €7.5 billion.
Unidentified Participant:
 :
Operator: Thank you. Our next question comes from Martino De Ambroggi from Equita. Please go ahead.
Martino De Ambroggi – Equita SIM: Yes, thank you. Good morning, good afternoon everybody. The first question is on the cost of synergies this is like what you are giving an overview on how things are progressing. But apart from the additional settings on purchasing that is the only net figure that you quantify. Can we have an idea what is included in your full year guidance as an additional method savings?
Richard Palmer: So, the total synergy number for 2012 would be about a billion Euros which is similar to the 900 we had in 2011. And that includes a large part of the purchasing savings which obviously are fruit of the synergistic process between Fiat and Chrysler.
Martino De Ambroggi – Equita: Okay. And the second question is on the pie chart on slide number four. I was wondering based on your plan when do you think the (inaudible) car business, these slides which is extremely, is more today will be positive?
Richard Palmer: (inaudible) is expected to break even by 2014..
Martino De Ambroggi – Equita: Sorry, 2014?
Richard Palmer: Yes.
Martino De Ambroggi – Equita: That’s including luxury mass market?
Richard Palmer: No, no.
Martino De Ambroggi – Equita: Okay, only the mass market.
Richard Palmer: Yes, the mass market we could see that as half a billion loss take that to a positive number by 2014.
Martino De Ambroggi – Equita: Okay. And the last question on Ferrari Maserati because if we look at your performance so far, last year, you were able to generate 100 million of excess performance in terms of trading profitable with the guidance. This is the pace also going forward for the Maserati and Ferrari division?
Sergio Marchionne: No, Maserati is going through a transition year as we renew this product portfolio. We will now see the full potential on Maserati until the new order get launched and until the group bank comes into the market again, that’s 2013. I think that 2012 is not going to be the exceptional year for Maserati. Ferrari will continue to do well. Certainly the older books continue to be full so I have no cause of concerns for the performance of Ferrari. I don’t expect it to be significant larger but the numbers you’re using compared to 2012.
Martino De Ambroggi – Equita: Okay. Thank you. And I was looking at your last sentence in outlook guidance. You revised the long term target in Q3 this year. I was wondering if the breakeven target for the mass market is still the renewed target there or...?
Sergio Marchionne: You don’t have to worry about that target moving. I mean, I think what Richard should have told you is that we will get to breakeven no later than 2014.
Martino De Ambroggi – Equita: Okay.
Sergio Marchionne: And the real issue for us is that if we see that there’s a structural change in European demand which is permanent and fixed then even the best intentions on the part of Fiat cannot resolve the issue, right? So, we would have to take other measures. And that’s why we have gained. We’ve agreed internally and I think we are advising you externally on the fact that we need to watch performance of the Euro zone over the next six months to redraw the proper conclusions. I mean, most of you are probably as concerned and as unclear as I am about where Europe is going from here. I think we have seen a lot of significant moves in the right directions. We’re still appear to lack the kind of unified answer that is required to move Europe out of the zones that it’s in. Until we see these things being action is very difficult to call the market. And that’s why I’ve never called the range that wide in a profit forecast in my life to the best of my recollection. So, I think we need to be very, very watchful. And it is my sincere hope that Europe finds the will to relay down the basis for unified Europe but until we see it in reality, I think everything else is absolute speculation. So, what we’ve built into the number on the assumption that there’s going to be no contagion effect between Europe and the rest of the world is a two point extremes in terms of a possible range of outcomes. We’ll see what happens.
Martino De Ambroggi – Equita: Okay. Thank you very much.
Operator: Our next question comes from Stuart Pearson from Morgan Stanley. Please go ahead.
Stuart Pearson – Morgan Stanley: This last thing, I have three questions left. First, you guys have a good staff, I think, to (inaudible) contribution to the range of guidance you’ve given for this year. So just look up with the remaining parts, specially on the component business obviously you had a pretty decent year in 2011. What are you expecting for that business in 2012 given the outlook in Europe? I guess more importantly, in Latin America, and if we do go back to that slide four that you indicated we would earlier and probably some (inaudible) calculations which may not be the accurate. I mean, it looks like you’re 11% margin in Latin America for the full year ’11. So, I just want to know if that was broadly correct, how that trended into Q4 and given what we saw I guess from some of the U.S. makers in presumably in Latin America recently, what your assumptions are in 2012 for that region. And then finally just on the cash flow side given a range of five and a half to six for the full year. But I wonder if you share with us where you might think that’s a good peak during the year and then which quarter you mentioned the inventory still needs to come down. Thank you.
Richard Palmer: So, the first question on the component business, we expect more of these – we’ll see the largest piece of that business to continue to improve performance. In 2012, obviously the size of the numbers is not – been almost immaterial to our forecast, but we expect, you know, they doubled the profit through the year so we expect a good increase of in 2012 of not the same expense really. Latin America...
Sergio Marchionne: If you can finish the Marelli story. You asked what is the impact of European situation on the Marelli. Even at the low end of our expectations it would not materially impact Marelli performance. One, because of the geographic footprint of Marelli today. And secondly, because of what they’ve done over the last three or four years which is effectively prepare a portfolio or have available a portfolio product exposed, the upper end of the mass market is not the premium end. So, I think they are going to be immune to what I consider to be the range of outcomes in Europe. So, I feel relatively comfortable that you’ll see a margin improvement in 2012.
Richard Palmer: In Latin America, we basically expect to generate a similar level of income in 2012 as we did in 2011. The Brazilian market projection is up around 5%. We expect to be able to leverage our new products and also the Chrysler Group product in countries like Brazil in Latin America to also grow volumes. So, we expect some volume growth through to 2012. The pricing discussion that you mentioned, I think there has been some pricing pressure through the second half of 2011 due to import manufacturers being aggressive. To some extent, we expect that to abate in 2012 given the new EP stats [ph], which is basically going to start to have a serious affect in the first quarter this year as the inventories that they imported under the lower regime are exhausted and the 30% tax takes its toll. So, for that reason and along with aggressive quota plan that we have for 2012, which will mean that we have a full year for the Uno, a full year for the New Palio. And we have other product launches through the year both from the Fiat side and from the Chrysler product side. We expect sales to maintain our incomes through 2012 or similar levels to 2011. And the last question is just from CapEx – oh, sorry. The (inaudible). Probably, seasonally, the peak of a net debt number would be Q3, given the seasonality in both the U.S. market with the model year changeover and the European market with all this being holiday months. That would be the peak of that debt.
Unidentified Participant: And any sense on how high that number could peak at?
Richard Palmer: Not really.
Sergio Marchionne: Yes. (inaudible) he just tried to tell you. There will be an excess of (inaudible) peak.
Unidentified Participant: In (inaudible) what inventory which is whether to be flat until someone pointed out another question, how much do you think you might need to reduce buy during Q1.
Richard Palmer: I mean, we’re running at 2.1 month of inventory. Like we said, we don’t want the number to get higher. So, I don’t think we’re tracking it. I don’t think there’s going to be a serious adjustment, unless Q1 fails in the European loan seriously impacted by the macroeconomic scenario.
Sergio Marchionne: Hello, (inaudible). Just to make people even more nervous. The numbers are being released as we speak today. So, the Italian numbers will be out by about 51 minutes now. France, I think, released this morning. And the market was substantially down year-over-year. I’m still waiting for the German numbers to come in. The European zone is not in good shape. But I think you’re going to see compared to 2011, at least for the first quarter of this year, the substantial decline in volumes across the Eurozone. It is my view that – and by the way, this isn’t built into a production schedule. We have taken down plants as required. Yeah, the only plants that are really running at any type of utilization, sort of full utilization unlike the commercial vehicle plants that we have. And all the car plants are being adjusted and have already been adjusted throughout the month of January. So, I don’t expect that we will inherit those problems by the end of Q1. And it’s built into a forecast and so with the utilization rate would have been. This was the best temporary (inaudible). We know for a fact that the Brazilian matter, in terms of (inaudible) being longer and (inaudible). And it’s already been address by what Richard made reference to. It depends with the IPI coming into force. So, let’s watch the Q1 numbers, but I don’t think it’s going to be materially – it’s going to be impacting materially on the Q1 performance.
Unidentified Participant: Okay. Thank you.
Operator: Our next question comes from Max Warburton from Bernstein. Please go ahead, sir.
Max Warburton – Sanford C. Bernstein & Co: Yes. Good afternoon. Two questions from my side. The first is on revenue guidance. The second, inevitably, is on Brazil again. Just on revenues, I’m slightly apprehensive about asking this question because I’ve got a feeling I’m going to make a fool of myself. But I’m taking the Chrysler Revenue Guidance given today for 2012 and reverting it out from the Fiat Revenue Guidance. And just to give my simple arithmetic, you say Fiat is going to aim for revenues of about €77 billion, Chrysler is aiming for revenue of around €65 billion. If I translate the Chrysler number into Euros at 1.3 rate, I guess, is €50 billion. So that leaves Fiat-Chrysler 27 for this year, which is 25% down on what Fiat-Chrysler did in 2011. There must be something wrong in my arithmetic. Is this an issue of the exchange rate that I’m using? Is it how the accounting works? If you could just explain what the non-Chrysler revenue guidance looks like year-on-year?
Sergio Marchionne: Before Richard gets water all over himself. If you look at the guidance, what you should be guided by is the greater than sign in front of the number.
Max Warburton – Sanford C. Bernstein & Co.: But then I guess you’re talking about range. So in the worst case scenario, we’re talking about a 25% revenue decline? I mean, 36 seem to be the number for the 2011 X Chrysler. Seventy-seven minus 50 is 27, obviously.
Richard Palmer: Yes, you’re right. Now, the Chrysler side reflects the increase in the units from the 2.3 to 2.4 million number and so obviously a 0.3 to 0.4 growth. Whereas on the Fiat, we basically take out some revenue for the downside on the European business. A little low-end of the range, but we’ve been very good on the Fiat side, to be honest with you. Nobody does (inaudible).
Max Warburton – Sanford C. Bernstein & Co.: Okay. And EBIT guidance? Again, if we were to split the EBIT guidance or trading profit guidance rather, between Chrysler and Fiat, is the bottom end of that range really consistent with a 25% reduction in revenues? I mean, you’re sort saying that for your auto would be break even and that’s how it really looks.
Sergio Marchionne: I think you need to disconnect it to numbers, Max.
Max Warburton – Sanford C. Bernstein & Co.: Really?
Sergio Marchionne: The number you need to rely on is the trading profit guidance.
Max Warburton – Sanford C. Bernstein & Co.: Okay. I mean, normally, the two things kind of match. I mean, you’re the man who gives the idiot’s guide to operating leverage, so the idiot guide to operating leverage is (inaudible) it doesn’t look like it was zero in that revenue scenario.
Sergio Marchionne: Max, let me make a couple of points. The only guy that got embarrassed by all these was me and not you on the call. But secondly, I’m going to ask to give my friend next to me here an idiot proof guide to revenue reconciliation.
Max Warburton – Sanford C. Bernstein & Co.: Okay.
Sergio Marchionne: So, we’ll do this after the call and we’ll update it when we get together for the third quarter call.
Max Warburton – Sanford C. Bernstein & Co.: Got it. Perfect. Okay. Thanks. The second question is pretty more straightforward in some ways. Back on the subject of Brazil, again, you’re sounding confident on Brazil and the written statements point to Europe as being the big swing factor in Q4. If we look at the profit deterioration in Fiat auto in Q4, its 150-something-billion swing, could you split it for us? I mean, is that 100% Europe? And Brazil was rock-solid or was it for the half Brazil, half-Europe? Just a bit of flavor on what’s going on Q4. Thanks.
Richard Palmer: Yes. With some reduction in Q4 in Europe and in Brazil as well, let’s say 50/50 in the quarter.
Max Warburton – Sanford C. Bernstein & Co.: Okay. And again, the reference to GM and Ford and the (inaudible) – I mean, from your point as competitors, do you think they’ve got company specific issues or they kind of turned it around or is there something generic going on there that we should really be aware of? The GM swing is at a 12 percentage point margin swing in a year. It is difficult as outsiders not to be concerned about that.
Sergio Marchionne: Yes. Max, I can't comment on the GM 12% swing (inaudible). I’ve never had 12%, one way or the other. I wish I could sway that far. The comment that I can make up with the European situation is what they’re experiencing to me. At least in my view, it’s very similar to what we’re seeing in the marketplace, which is a degradation of pricing discipline. I tend to say it’s volume. And I think the margin generation or whatever you actualize as a failure in the European market today, it’s certainly below what we have seen in 2010. And substantially below what we saw in 2009 and in the past year. So, this is a market that is looking for a point of equilibrium between demand and supply. And all these process of adjustments are by definition, neither pretty in nature, nor are they painless. So the fact that we are – I don’t think that the GM number hides anything nefarious in it. I just think it reflects the deterioration on normal trading condition on a market which has become hypercompetitive. Just for your information, we have refused to engaged in some of the trading practices that we have seen in Europe because of the fact that we found them to be financially unrewarding even on a variable contribution basis. And so, we need to be very careful that this doesn’t – those games don’t last very long because the losses that they generate against the big (inaudible) structure are similar to the ones the Europeans are carrying. It’s very short-lived and it going to becomes very, very evident in a short period of time. So, I don’t read anything bad in any of the competitor’s numbers. Just take it as a sign of a bad, bad health situation. It needs to be cleaned up.
Max Warburton – Sanford C. Bernstein & Co.: Okay. And (inaudible) I’m going to be greedy here and I’ll sure to follow-up on that. And this is really a question I’m getting from investors in the last couple of days. You referenced the French numbers that came out this week with the market down heavily. But I think Volkswagen was up 23% and the French market down over 20%. And I don’t want to point fingers here, but we’ve seen VW get even more aggressive in Europe or is the blame really elsewhere at the present time?
Sergio Marchionne: No. I think that they are getting a lot more aggressive. And to be perfectly honest, I’m not here to criticize Volkswagen’s commercial practices. Everybody makes their own bed and they sleep in it, right? The question is whether you trying to preserve brand equity or whether you’re going to become anybody. They can do whatever they like. It’s impossible. Let’s be perfectly honest. In a down market, you get significant market share swings with that caliber where you got fundamentally a level playing field on technology, it’s not brand equity. I mean, the last time I check when I went to France, it wasn’t because of the fact that we’re all waiting – they’re all wearing lederhosen. They made them by Volkswagens.
Max Warburton – Sanford C. Bernstein & Co.: We’re all speaking German now. I’ll leave it at that for my side. Thanks.
Sergio Marchionne: Well, congratulations on your linguistic development.
Operator: We will now take our next questions from Eric Hauser from Credit Suisse. Please go ahead, sir.
Eric Hauser – Credit Suisse: Hello again. I refrain from my question in German. It’s a very straightforward question though. And I was just looking at the…
Sergio Marchionne: I will answer you in German, Eric.
Eric Hauser – Credit Suisse: Okay. I was just looking at Page 55 of the pack and in there you’re saying that in 2012 you’ve got refinancing needs of 4.8 billion for Fiat and Chrysler. And this number was 2.9 billion at the end of Q3. So, I was just wondering whether Q4 maturities has been pushed from Q4 ‘11 into 2012? And how do you plan to deal with these maturities if we were to assume that the credit market remain sharp? Thank you.
Richard Palmer: Okay. It’s just a rollover on the maturities from Q4 to Q1. They’re on continual renewal.
Eric Hauser – Credit Suisse: I’m sorry to interrupt there. But was this something that you planned to do? Because again, at the end of Q3 you said, “They’re going to do 2.9 billion over the next three months.” And did you decide to roll these over because you didn’t find the liquidity to do it in Q4 or was it more of a specific decision?
Richard Palmer: No. We just rolled them over on an ongoing basis. There’s nothing different of our practice on that (inaudible) debt.
Eric Hauser – Credit Suisse: Okay. And if you assumed that the credit markets remained sharp in 2012. This 4.8 billion, we could see a number that you think you would need to refinance out of existing gross cash levels. Do you think that this is something that would present a problem at one stage?
Richard Palmer: Well, 2 billion of undrawn (inaudible) that we can draw down on if we need to. Obviously, we’re holding a lot of liquidity. So, at the moment, we don’t see any criticality even if the markets totally freeze. Having said that, on the bank side, we’ve never had any problem historically and even in the last few months where we raised the RCF through bank relationships. So, we don’t consider that we’re going to have a problem on the bank debt. On the capital market debt, we’re obviously tracking the market like yourself. We have one maturity, significant maturity in July that we will look to refinance if the markets are open and the terms makes sense.
Eric Hauser – Credit Suisse: So, you’re basically saying look, the 10.3 billion of gross liquidity that we see today, even if have to – all of these outgoing maturities out of level (inaudible) with 5.5. Let’s assume you’ve earned through – call it 1 billion in gross cash over the course of 2012. The 4.5 billion gross liquidity that would be left with is not a number that you would be concerned over.
Richard Palmer: No. In that terrible scenario? No.
Unidentified Participant: Okay. Thank you.
Operator: Our next question comes from Thierry Huon from Exane BNP. Please go ahead.
Thierry Huon – Exane BNP: Yes, good afternoon. This Thierry now speaking from Exane. So, first of all, I would like you to repeat the CapEx number you are forecasting for 2012 because I didn’t pick it when you mentioned it. And the second question is about the new labor agreements you’ve got in Italy. Do you think this would be enough to address the over capacity situation you are facing or it’s just a way to mitigate the situation? And last question about the new Panda produced now in Italy. Could you say whether if you have better construction for this car than the one you used to have for the previous generation produced in Poland or it’s higher?
Sergio Marchionne: It’s higher.
Thierry Huon – Exane BNP: And this is due to the product or it’s due to the fact that the production is localized in Italy?
Sergio Marchionne: Both.
Thierry Huon – Exane BNP: Okay. Thank you.
Sergio Marchionne: Richard?
Richard Palmer: CapEx is €7.5 billion.
Thierry Huon – Exane BNP: 7.5?
Richard Palmer: Yes. Total of Fiat-Chrysler.
Thierry Huon – Exane BNP: Okay. Thanks.
Operator: We will now take our next question from Philippe Houchois from UBS.
Philippe Houchois – UBS: Yes. Good afternoon again. A few questions. The first one is I’ve always assumed currency exposure on (inaudible) was a translation issue, that you’ve changed the shape of the group et cetera. Is there any transaction exposure that we should be aware of either on the real or on the dollar as you increase some of the exchange between Fiat and Chrysler? First question. The other on is on financing. Do you see any kind of deterioration in your competitiveness? I know you did your financial through Credit Agricole. That seems to be going well. Have you had discussions with them about LTRO reliance and things like that to improve competitiveness? Or where do you stand on this. And the last point is on the valuation. You’ve been very vocal for a long time as far as with the little money and we can’t agree. At the same time, over the past few years, we’ve seen some of your competitors on the premium side creep up in margins to a level not far from where you are and Ferrari. So, what needs to happen so you will get the kind of valuation that you’re thinking about, considering that you think about something that will a multiple of what is achieved by carmakers, which are, let’s say, kind of creeping up your margins.
Richard Palmer: As a regard to that fact, clearly going forward, we’re going to have interchanges on dollar-euro. And our plan would indicate – obviously, there’s been times we could have different imbalances but in reality, we’re going to be making cars both in the U.S. and in Europe for distribution in other markets. Having said that, at the moment, we clearly have more exposure on the dollar than we use to have from a transaction point of view.
Unidentified Company Representative: I mean, the group net is low on dollars now on the floor basis. That hopefully we’ll change as we get the industrialization up. But right now, it’s a lone (inaudible).
Philippe Houchois – UBS: Right now, we’re looking like 3 billion, 5 billion. We’re going to make (inaudible) of lone dollar exposure?
Sergio Marchionne: It’s a net number but I’m not (inaudible). They don’t have it here.
Philippe Houchois – UBS: Yes. Okay. Richard Palmer On Credit Agricole. But for the moment, we’re basically operating as we have been layovers. So, we have some plans within the overall asset space to reduce asset levels. We obviously discussed with them the business model on the house and a weaker financing side and that they liked the business and they continue to operate. As our partners, we make money. And so far, so good.
Philippe Houchois – UBS: You don’t fear at a disadvantage compared to some of your German competitors in particular?
Sergio Marchionne: No. Not really. There has been a scarcity of funding for the car operations in our business. And that’s the only the true benchmark of performance.
Philippe Houchois – UBS: And do you still have within the group somewhat a banking license in Europe that would enable you to accept the LTRO directly?
Sergio Marchionne: I think we do. I’m looking over at Antonio. Yes. We have one. We do have a banking license.
Philippe Houchois – UBS: All right. Okay. It doesn’t say how much you could…
Unidentified Company Representative: He (inaudible) if I open up an investment bank here?
Philippe Houchois – UBS: No, no. Not at all. I was wondering how you and your competitors might be looking at the next round of LTRO in late February as a source of optimize funding. Let’s call it that way. Unidentified Company Representative We have Antonio Picca Piccon, who’s our treasurer. Go ahead.
Antonio Picca Piccon: Yes. I think if you have the capital through joint bank that it was able to fund itself on a standalone, furthermore, benefits from funding (inaudible).
Philippe Houchois – UBS: Okay. Thanks. Unidentified Company Representative And you want to know about Ferrari?
Philippe Houchois – UBS: Well, I’m just curious about the closing of the gap in margins between you and your competitors.
Sergio Marchionne: Yes, I don’t think – I think we need to be careful about two things. The valuation of Ferrari goes beyond the margin performance of the business. I mean, it’s the uniqueness of the asset and the continuity of that earning stream which is more important to us that the ability of somebody to match in on a 12-month basis.
So, I think we’re looking at resilience, which is yet unmatched by anybody else. Then, we’re talking about a uniqueness of a brand, which is also unmatched. Buy I’ll pass that comment on to Mr. Montezemolo. I’ll remind him of the fact that he’s got competitors chasing him off his tail. And then perhaps, he could improve performance.: 
And I’ll give your cell number so that he can call you and give you his personal views on that stuff.: 
Philippe Houchois – UBS: I would love that.
Sergio Marchionne: Good?
Philippe Houchois – UBS: Good. Thank you.
Operator: Our final question today is from Richard Hilgert from Morningstar. Please, go ahead.
Richard Hilgert – Morningstar Inc.: Thanks. Good afternoon. Thanks for taking my call. On the utilization, you’ve got several moving parts going on. The numbers that we had in the presentation, first of all, on slide, I think it was seven. The numbers on the left, are those the same measurement as the blue bars on the right?
Richard Palmer: Yes, they are.
Richard Hilgert – Morningstar Inc.: Okay. So, then, you’ve got a better than industry utilization rate than the rest of Europe. But you’ve moved the Panda out Tychy and into Pomigliano. And that’s about 230,000 units this year that you’re expecting for 2012. Longer term, I think the target was 270,000 to 300,000 units, is that right?
Sergio Marchionne: Yes. If the market is there, yes.
Richard Hilgert – Morningstar Inc.: Okay. And for 2011, let’s see, Termini’s utilization was 9%. Its capacity was 140,000 units. You’ve got a new labor agreement in place for 2012. Is there any reason why we shouldn’t see the Italy bar out of 50% the blue bar on the right side of that chart starting to look a bit more like the 82% industry average beginning in 2012 because of all of those different moves that you’ve made?
Sergio Marchionne: The answer yes. You will see a gradual shift of the Italian curve, if we’re successful towards the European average.
Richard Hilgert – Morningstar Inc.: Okay. And but this should occur in 2012, even though...
Sergio Marchionne: In part. In part of 2012 because by then you need to take into account whether the market is going to be down year-over-year anyway.
Richard Hilgert – Morningstar Inc.: Right.
Sergio Marchionne: And so, there’s going to be an underutilization caused by shrinkage in market demand on the one side. There’s going to be a shrinkage in the European market overall, which is definitely going to impact on the utilization of the remaining assets in Italy, which is going to be (inaudible) but before the utilization of the Pomigliano investment. The net of those two numbers should be still positive for the year. For the year.
Richard Hilgert – Morningstar Inc.: Exactly. Right. For the full year you got to…
Sergio Marchionne: For the full year, we get better.
Richard Hilgert – Morningstar Inc.: There’s a breakeven point on the Italian asset base should substantially improve or offset by the loss of operating leverage because of the loss of volume in Italy for the full year, correct?
Sergio Marchionne: Yes. You need to be careful. Look, we have taken an existing model out of an existing infrastructure that was blowing the lid off the Harbor definition. And that’s why we’re in the 100 plus 10 numbers by definition are going to grind down because the vehicle is gone. And so, that number is going to start looking slightly more human, then, you will see a restoration of the Italian number up the scale until you get to the European average. That transition, in our plan, will take until 2014 to complete to because it needs to impact all the plants and not Pomigliano. So, it’s a long a haul. I’m confident that I can reduce the number that I’ve told you about, in terms of the loss from the mass market in Europe within 2012. And then we can start dealing with much more manageable numbers and the reality will start making sense. So, all of those depends on how Europe over all as a trading block decides to function going forward. If you get an implosion in the European market with dislocation and uncertainty, then any valiant projections about what Europe will do in 2012 or a later year is up for grabs. I need a slightly higher degree of confidence in the performance of the market going forward than I’ve got today.
Richard Hilgert – Morningstar Inc.: Okay. But suffice it to say, even on the low end of expectations, the blue bar on the right for Italy at 50% utilization. We should come out in 2012 somewhere in between that 50% on the right and the 82% blue bar on the left.
Sergio Marchionne: Yes. You choose what in between means but yes, they will be there. And it will be offsetting a decrease in the blue bar in the top portion of the graph and bottom portion of the graph, which deals with the rest of Europe because that number is going to grind.
Richard Hilgert – Morningstar Inc.: Right. Exactly. Okay. As far as the question about your European unit volume is concerned, would it be fair to say that realizing that all of the austerity measures that are being taken would substantially reduce the probability of any type of tax benefit program to incentivize the auto market. But having said that, what about the potential for a scrappage program in any of the countries in Europe since you have the VAT that could offset the cost of the program.
Sergio Marchionne: Yes. Let me tell you what’s wrong with your argument. And I’m glad you brought it up because there are rumors that are buzzing around about politicians envisioning scrappage schemes to try and help the industry along. Any scrappage scheme that gets introduced today is going to be the most unhelpful tool to be given to this industry that it was ever given. We ended up creating a number of years of what I call, hyper-demand, totally induced by those zero sum game that you just made reference to about the fact that VAT was except of the subsidy being provided. The (inaudible) that’s holding the candles with the car producers because at the end of the day, they had this thought capacity, which almost started to dry up. If you’re looking for a 12-month band-aid, it may be the right answer. If you’re looking for a long term solution to this problem, this is not the answer. Forget about scrappage schemes. They just do not work. Let this industry settle. It needs to settle at the right level of what could been between demand and supply. It cannot be induced. It cannot be forced. And if you induce it, it needs to be a permanent inducement. And all scrappage schemes, by definition, are not.
Richard Hilgert – Morningstar Inc.: Okay. Good. This is more a question for Mr. Palmer. In the U.S. and in GAAP and recognizing that there is a difference the PHIN [ph] codes at the U.S. manufacturers versus the way that your structure is set up with your financing operations. In IFRS and in the European situation and given your capital structure or your structure for the PHIN codes, would you be taking any charge-offs for credit losses given your assumption that you’re going to have lower unit volume, you’re going to have weaker economic conditions in 2012?
Richard Palmer: No. No charges on either side.
Richard Hilgert – Morningstar Inc.: On either side.
Richard Palmer: Not in Europe and not in the U.S.
Richard Hilgert – Morningstar Inc.: I realized in the U.S. you wouldn’t be taking any. You might be reversing some in the U.S. because of the increase of volume.
Richard Palmer: Yes, we don’t have a captive finance company in the U.S. We don’t have a captive finance company in Europe either. We have J.V. with Credit Agricole. But within the J.V. probably, if losses were to go up and we have an impact to the 50% shareholder in the JV.
Sergio Marchionne: And just to remind everybody, the Chief Risk Officer that’s fit with (inaudible) joint venture is a bank appointee. There’s another decision that is induced by commercial practices up here, so that we have never, ever been tempted to influence that credit scoring process to create a potentially a bad book of business.
Richard Hilgert – Morningstar Inc.: Okay.
Sergio Marchionne: I mean, we’re bound to have some. Nobody is perfect and you accept them but it’s not going to be abnormal.
Richard Hilgert – Morningstar Inc.: I guess then, let me rephrase the question a little bit. Is there a difference between the way that losses are recognized, when you assume that losses are going to go up, is there a difference between GAAP and IFRS and that you recognized before the loss has happened in GAAP. And you could take a chart–
Sergio Marchionne: You do the same thing under IFRS then all these things are booked by that provisions that the time which there’s an indication of the fact that these advances are (inaudible). There’s no difference here. There’s no difference on the book that’s in Latin America and there’s difference in the U.S.
Richard Hilgert – Morningstar Inc.: Okay. And have any provisions been taken then for Europe already?
Sergio Marchionne: More than adequate to deal with the order book that’s on hand at December 31st, 2011.
Richard Hilgert – Morningstar Inc.: Okay, great. Thank you very much.
Sergio Marchionne: You’re very welcome.
Operator: That will conclude the question and answer session. I would now like to turn the call back to Marco Auriemma for any addition or closing remarks.
Marco Auriemma: Thank you. We would like to thank everyone for joining the call today. We’ll be communicating shortly. Bye.